Operator: Good morning, ladies and gentlemen, and welcome to Ferroglobe's Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to turn the call over to Alex Rotonen, Ferroglobe's Vice President of Investor Relations. You may begin.
Alex Rotonen: Good morning, everyone, and thank you for joining Ferroglobe's third quarter 2025 conference call. Joining me today are Marco Levi, our Chief Executive Officer; and Beatriz Garcia-Cos, our Chief Financial Officer. Before we get started with some prepared remarks, I'm going to read a brief statement. Please turn to Slide 2 at this time. Statements made by management during this conference call that are forward-looking are based on current expectations. Factors that could cause actual results to differ materially from those forward-looking statements can be found in Ferroglobe's most recent SEC filings and the exhibits to those filings, which are available on our website at ferroglobe.com. In addition, this discussion includes references to EBITDA, adjusted EBITDA, adjusted gross debt, adjusted net debt and adjusted diluted earnings per share, among other non-IFRS measures. Reconciliation of non-IFRS measures may be found in our most recent SEC filings. Marco?
Marco Levi: Thank you, Alex, and thank you for joining us today. We appreciate your continued interest in Ferroglobe. As we have discussed in previous quarter, 2025 has been marked by significant challenges stemming from unfair trade practices in both the U.S. and EU. After taking proactive measures to create a more level-playing field, we are now beginning to see meaningful progress. Regulators are taking actions, and we are confident these measures will improve the balance in our markets and position Ferroglobe for a much stronger performance in 2026. Starting with the U.S. On April 24th, we filed a trade case in the U.S. regarding unfairly priced imports of silicon metal against Angola, Australia, Laos, Norway and Thailand. On September 23rd, the U.S. Department of Commerce issued preliminary countervailing duties against 4 of those countries that subsidize silicon metal production with the following assessments: Australia, 41.3%; Laos, 240%; Norway, 16.9%; and Thailand, 31.3%. Furthermore, on September 26, the U.S. Department of Commerce issued preliminary antidumping duties on Angola and Laos of 68.5% and 94.4%, respectively. Additional preliminary antidumping determinations are expected by the end of the year for Australia and Norway. Initially, these antidumping measures were scheduled to be announced on November 21st, but due to the U.S. government shutdown, they are likely to be delayed. In parallel with U.S. action, the European Commission launched a safeguard investigation on December of last year, covering silicon metal, silicon-based alloys and manganese alloys. The final decision is expected by November 18. A favorable outcome would represent a significant step forward for the industry and for Ferroglobe, and it would secure the EU's sustainable access to critical and strategic materials, which are required for infrastructure and defense industries. We remain optimistic about the results of this investigation. From a process perspective, the final implementation of safeguards requires approval from at least 15 of the 27 EU member states and by states representing at least 65% of the population. It is important to note that it is unclear at this time which of our products would be included in the safeguards and how these will be implemented. Next, I will provide an update on our partnership with Coreshell. They continue to make great strides in the development of silicon anode technology for next-generation batteries for EVs and other applications. Recently, Coreshell began shipping commercial scale 60 ampere EV pilot batteries to leading automotive OEMs for testing, a major step towards commercialization. The production ramp remains on schedule with consistently high yield and quality, underscoring the scalability of their process. Another advantage is that Coreshell's silicon-rich anode technology removes the reliance on graphite, of which over 90% is produced in China, paving the way for a fully domestic supply chain for EV batteries. Coreshell also expects to achieve commercial deployment of advanced battery systems used in robotics and defense applications in early 2026, a significant milestone that validates the potential of silicon anodes in high-performance battery. I also want to congratulate Jonathan Tan and his team at Coreshell for winning the start-up World Cup in October, a global competition featuring over 100 regional events across more than 20 countries. This recognition highlights the impressive progress the company has made in advancing cutting-edge battery materials. Finally, as we continue to expand our collaboration with Coreshell, we have finalized a joint development agreement and expect to establish a long-term supply agreement for high-quality silicon metal in the near future, positioning Ferroglobe to play a key role in the growing market for advanced battery materials as EV adoption accelerates. On the operational side, I am pleased to announce that we recently signed a new multiyear energy agreement in France effective January 1, 2026, guaranteeing us a very competitive energy price. In addition to low energy costs, the contract provides us the flexibility to operate our plants for up to 12 months a year, a significant benefit compared to our current agreement. This will simplify our S&OP process, inventory management and improve working capital as well as costs through higher fixed cost absorption. Next slide, please. The combination of soft demand and aggressive imports into the EU resulted in declining volumes and revenues in the third quarter. Overall, volumes in our main segments were down 21% from the prior year quarter. However, despite a 19% decline in revenues, we generated $80 million in adjusted EBITDA, only slightly below the second quarter and improved free cash flow. Next slide, please. Moving to our segment update, I'll start with silicon metal on Slide 5. The silicon metal market remains extremely challenging in Europe with significant predatory imports from China, roughly doubling in the first 8 months of this year. The EU should not allow imports of silicon metal designated as a critical and strategic material by the EU to have unfettered access to the European market. Because of these dynamics, we were forced to idle all our silicon metal plants in Europe starting at the end of September. As a result of these imports and weak demand, our third quarter shipments in EU declined by 51% compared to the second quarter. North American volumes remained stable despite soft demand. Within the silicon metal segment, the chemical sector continues to be negatively affected by the oversupply of imported siloxane from China into Europe and the U.S. Siloxane is used in the production of silicones. Index prices saw an uptick from the second quarter in both the U.S. and EU. However, the year-to-date index in Europe is down by 28%, while the U.S. index is flat. Looking forward, we believe the preliminary U.S. antidumping and countervailing duties are a positive indicator of what the final measures we have assembled and are expected to markedly improve the U.S. market dynamics in 2026. The chemical demand is still expected to remain challenging due to siloxane imports in EU and to the lesser extent in the U.S. Next slide, please. After a strong second quarter, silicon-based alloys volumes declined across all regions with Europe decreasing by 15%, followed by the U.S. being down 10%. Overall, the volumes decreased by 19% due to soft demand. This was particularly noticeable in Europe, whereas low restart of post-holiday steel production resulted in a nearly 5% decline in the third quarter compared to the same period of the last year. The pricing environment deteriorated in the third quarter with the U.S. and European indexes declining by 5% and 6%, respectively. For the year-to-date period, the weakness in European steel production continued to weigh on the index, which is down 10%. The U.S. index is flat year-to-date. Steel production is forecasted to increase by 3.2% in 2026 in Europe. Combined with expected safeguards, this sets the stage for much stronger market conditions next year. We expect similar trends in North America based on conversation with our customers and a steady 2.2% projected growth in North American steel production. Overall, we are optimistic that 2026 will be a strong year for total silicon-based alloy sales for Ferroglobe. Next slide, please. Moving to manganese-based alloys. Following the multiyear high shipments in the second quarter, our manganese segment remained solid in the third quarter, despite a volume decline of 21%. This is more a result of an exceptional second quarter, which benefited from delayed shipments carried over from the first quarter and our cost competitive position. Another factor continuing to constrain the manganese segment is the increased shipments into Europe from India, Malaysia and Georgia. Manganese alloys index prices softened in the second quarter by 7% and 3%, respectively, for ferromanganese and silicon manganese. We anticipate manganese demand recovering in 2026 with expected 3.2% steel production growth in Europe and the announcement of safeguards later this month. I would now like to turn the call over to Beatriz Garcia-Cos, our CFO, to review the financial results in more detail. Beatriz?
Beatriz García-Cos Muntañola: Thank you, Marco. Please turn to Slide 9 for a review of the income statement. Third quarter sales declined 19% sequentially to $312 million, while raw material costs declined 29%. As a result, raw materials as a percentage of sales declined from 65% to 58%, mainly due to lower energy cost in Europe. The quarter-over-quarter sales decline was driven by lower volumes across the 3 product categories with silicon metal, silicon-based alloys and manganese-based alloys declining 25%, 19% and 21%, respectively. Volume declines were partially offset by higher average selling prices, which increased by 1%, 2% and 1% for silicon metal, silicon-based alloys and manganese-based alloys, respectively. Adjusted EBITDA decreased 15% from the prior quarter to $18 million versus $22 million in Q2. Adjusted EBITDA margin improved slightly to 5.9%, driven by cost improvement in the silicon metal and silicon-based alloy segment. This was partially offset by the manganese segment. Next slide, please. Moving to product segment bridges. Silicon metal revenue declined 24% sequentially to $99 million in Q3, driven by a 25% decrease in shipments to 34,000 tons, partially offset by a 1.2% increase in average selling prices to $2,950. Volume decline was driven by weak demand and dumping of Chinese silicon metal in the European region, as Marco mentioned earlier. Silicon metal adjusted EBITDA increased 81% to $12 million compared to $7 million in Q2 with margins increasing to 12%, up from 5% in the prior quarter. The margin improvement was driven primarily by lower energy cost in Spain and lower overall cost in North America. Next slide, please. Silicon-based alloys revenue declined 17% to $92 million, driven by a 19% sequentially decrease in volumes to 43,000 tons, partially offset by a 2% increase in average selling prices to $2,149 per ton. Adjusted EBITDA increased significantly to $12 million in the third quarter, up to 73% from $7 million in the second quarter. Margins expanded to 13% compared to 6% in the prior quarter. The improvement in adjusted EBITDA and margins was a result of lower energy costs in Spain and cost improvement in France. This was partially offset by higher production costs in the U.S. and South Africa. Next slide, please. Manganese-based alloys revenue declined 21% to $84 million versus $106 million in the prior quarter. The decline was primarily due to a 21% reduction in volumes to 70,000 tons, partially offset by a 1% increase in average selling prices to $1,214. Adjusted EBITDA in the third quarter was $4 million versus $17 million in the prior quarter, a decrease of 74%. Adjusted EBITDA margins declined to 5% versus 16% in the prior quarter. This margin contraction was primarily driven by lower fixed cost absorption in Spain and higher raw material costs in France and Norway. Next slide, please. During the third quarter, we generated $21 million in operating cash flow, a 33% increase over the prior quarter. The improvement reflected a $7 million reduction in working capital on a cash flow basis. Energy rebate improved to $16 million from $7 million in the second quarter. while the change in taxes and others was largely due to profit sharing agreements based on 2024 results. Capital expenditures totaled $19 million versus $15 million in Q2. Despite the challenging market conditions, we generated positive free cash flow in the third quarter. We expect a substantial release of working capital in the fourth quarter due to our focus on inventory management and early idling of production in France. Next slide, please. During the third quarter, we maintained a strong balance sheet while continuing our dividend program. We are declaring a fourth quarter dividend of $0.04 per share, in line with the previous quarter. It will be paid on December 29 to shareholders of record on December 22. We ended the quarter with a slight net debt position of $5 million compared to a positive net cash position of $10 million in Q2. Adjusted gross debt increased marginally from $125 million in the second quarter to $127 million in the third quarter, while total cash declined from $136 million in Q2 to $122 million in Q3. Our year-to-date CapEx was $48 million. At this time, I will turn the call back to Marco.
Marco Levi: Thank you, Beatriz. Before opening the call to Q&A, I'd like to provide key takeaways from today's presentation. We expect trade measures in the U.S. and EU to improve the business environment significantly in 2026. The U.S. ferrosilicon case, combined with tariffs and the silicon metal cases, preliminary determinations are encouraging, positioning us well in North America. The EU safeguards are expected to be announced later this month, and we are optimistic they will have a similar impact in Europe. Coreshell is making significant advancements with its silicon anode battery technology and has begun shipments from the pilot battery plant and expects to begin commercial deliveries to robotic and defense-related applications in early 2026. The pilot plant battery production is progressing well with high yields and consistent quality. We continue to focus on cash flow generation and maintaining a solid balance sheet. We expect to deliver meaningful working capital improvements in the fourth quarter as we continue to see benefits from our S&OP process. We signed a very competitive multiyear energy agreement in France, which provides us the flexibility to produce throughout the year. Operator, we are ready for questions.
Operator: [Operator Instructions] Your first question comes from the line of Nick Giles from B. Riley Securities.
Nick Giles: Appreciate the update this morning. The market obviously remains challenging, but it seems like action to-date is offering some support and there could be more coming. Can you just speak to the demand signals you're seeing today and really how you're thinking about 2026 just from a volume perspective across each product category and region? Would be great to get your thoughts.
Marco Levi: Yes. Nick. Let me start talking about Europe. I think that the demand in Europe will be stimulated by protection of the supply chains that the EU has decided to protect. Decisions have been made on steel very recently, where they have further safeguarded European production and pending decisions, of course, are related to our products and to aluminum. So for me, the secret of establishing demand in Europe is linked first to protection and clarity on all these points. But we expect, like I mentioned in my speech, demand in steel still going up. And this will drive, in our opinion, quite significant additional demand of manganese alloys and ferrosilicon. Talking about silicon metal in Europe, I think that the major news is related to the intention of Germany to apply as of January 1, a new tariff on energy that is really going to boost the productivity of chemicals, steel and aluminum players, and this will drive some recovery in silicon metal on top of the other elements that I have mentioned. Talking about North America, we are, on one side, puzzled by the fact that utilization rate of steel mills in U.S. has gone up only 1%, sorry, in spite of the measures -- the protective measures of Mr. Trump. The expectations from statistics is that demand for steel is going to go up next year. And we see that our order portfolio is getting much more robust in ferrosilicon in 2026. We already have this evidence. Talking about silicon metal, I think that the decisions that have been made on the case until now will help mainly some price restoration. Volumes related to the 5 countries involved is about -- is less than 10% of the actual demand. The other key element that is going to drive demand of silicon metal in U.S. is going to be related to whatever action the government is going to take on imports of siloxane from China. So overall, Nick, the scenario seems to be favorable, but there are a lot of decisions that can influence either/or demand for next year.
Nick Giles: I really appreciate all that detail. My next question was just about operations and specifically costs. I think you've been really successful in past years of improving productivity and that flowing to the bottom line. It seems like there were some operational efficiencies targeted already. But I guess my question is, how much more could be made and what would be the impact to EBITDA and cash flow?
Marco Levi: Yes. Of course, under the current conditions since the beginning of the year, we have been focusing on cash. As you know, last quarter of last year, we started implementing global S&OP. The target was improving in the first year, our working capital to operate the company by at least $50 million. We have already reached $55 million by the end of the third quarter, and we expect to continue this effort to improve the way we operate our company. On cash, as you heard from Beatriz, -- we have reduced the amount of CapEx that we spend. We expect to be close to EUR 60 million this year versus the EUR 80 million, EUR 85 million of the previous years. Of course, we never sacrifice on EH&S. But of course, we need to watch and be selective on how we spend CapEx, especially considering that some of our plants are not operating at this stage. On cost, there are 2 main initiatives. We have been implementing hiring freeze since the beginning of the year for new positions, and we've been extremely selective in replacing positions that got vacant in the company. And the other -- so every new hiring is approved by me, either a secretary or an executive. So this is a fact. And the other fact is that we -- of course, we are on continuous control on discretionary spending and these are the main areas where we are focused on.
Nick Giles: Got it. Maybe just one more, if I could. If we're to try and look further down the road when market conditions may have improved, how are you thinking about capital allocation? Could we see increased shareholder returns? You've talked about growth in the past, but obviously, there's been -- we've been kind of in a cyclical trough for maybe longer than anticipated. So just would be great to get an updated view on both of those fronts.
Beatriz García-Cos Muntañola: Nick, this is Beatriz speaking. I think the answer is yes, we're going to be considering share buybacks. I think we have been showing a prudent approach to take debt. We reiterate that it's not our intention at the moment to take debt to do any shareholder buyback. But as we progress in our EBITDA results, as you mentioned, when market conditions are different, of course, we're going to be resuming our share buyback program and always focus on this opportunistic approach. We continue to believe that our share price is as evaluated. So of course, we're going to continue with our program at the right time.
Operator: [Operator Instructions] Your next question comes from the line of Martin Englert from Seaport Research Partners.
Martin Englert: I wanted to touch on the weakness in CMS, which was called out in the press release and you discussed a bit on the call. But I'm curious for silicon metal volumes into the chem's market, what did you see across the U.S. and EU kind of year-on-year in 3Q? And what has that been trending like year-to-date?
Marco Levi: I missed one word of the question. Silicon metal into chemical sector?
Martin Englert: Yes, silicon metal into the chemical sector, what's been going on year-on-year and year-to-date within the U.S. and then the EU.
Marco Levi: Yes. If you talk about Europe, the key thing is related to the decision of one of the major players to switch from producing their own products starting from silicon metal in Europe to buy siloxane from China. And this is one of the major players. So silicon metal demand has gone down. The other key factor is the impact of the polysilicon industry in Asia and the collapse of the industry there has caused significant losses of volume of the European player who is supplying polysilicon to Asia. And as a consequence, lower volumes are purchased in Europe. The third element, of course, is demand that is not improving. And the fourth element is the massive increase of imports of silicon metal in Europe coming from China and Angola on top of the robust imports from Norway. So this is a quick snapshot of Europe. Talking about the United States, we understand that excluding Dow, most of the other chemical players have suffered in terms of demand. And like I said, massive imports of siloxane from China. When you look at the volumes of silicon metal, you will see a significant increase of imports of silicon metal into the U.S. from Brazil. And based on our understanding, these imports are mainly due to a significant improvement of the productivity of the assets of Dow Chemical. So Dow Chemical has increased the captive use of silicon metal. So these are the main factors in the chemical business that I can report today.
Martin Englert: Okay. I appreciate the detailed update there. That's helpful. And I'm sorry, I missed this in the prior remarks, but are you anticipating trade actions within the U.S. and/or EU on siloxane?
Marco Levi: Well, it's not up to me to decide but I think there is a [ burning ] platform, both in U.S. and Europe to consider taking some actions on siloxane. The problem is that as much as I know is that you have a number of grades of siloxane and this doesn't make the antidumping initiative so easy but I cannot talk more as we are not talking about our products. Overall, for me, if you take the United States, it makes sense to block China on silicon metal, but then if you don't block them on siloxane or silicones, well, the overall measure on silicon metal doesn't make too much sense.
Martin Englert: Okay. All right. I appreciate the detail there. And on the EU safeguards, whatever the outcome is, if you feel if it's not sufficient to deal with the market dynamics and the lost market share with imports, I guess I'm curious what are the next steps? And is it something that could be -- what are your next steps as a company then? And then is it something that can be revisited with the European Commission? And how would that timing look if that's even a possibility?
Marco Levi: Well, everything can be revisited with the European Commission, but we don't have time for that. We don't have time for that and I'm very confident that some decisions are going to be made by November 18. Now if your question is what if measures are not announced or they are not sufficient, I appreciate your language. The plan is we are ready to announce severe [indiscernible] supported strong antidumping actions, which in case would be specific on China for silicon metal, on India, on all the manganese product mix and Kazakhstan on ferrosilicon. We have not launched the antidumping cases in Europe because we have been dancing since May this year under the expectations that safeguards were going to announce in Europe. But our reaction is going to be immediate if we don't see measures announced. And then it depends on what gets announced, and then we will have to consider what to do with our asset footprint, but this is the second step.
Martin Englert: In a scenario where the safeguards would not be sufficient over the near term and additional action would be taken to potentially temporarily idle assets. I know there are many for silicon metal that are currently idled. But I guess, cash costs potentially associated with that? And then anything to think about like ongoing recurring just fixed costs that would continue on a quarterly basis?
Marco Levi: Yes. I mean I answered before the question of Nick. At this stage, our cost actions are focused on hiring freeze and discretionary spending. We have partial unemployment measures applied in France. As you know, as of the end of September, we are not producing silicon metal in France. So these are the measures on cost that we have -- we are implementing right now.
Martin Englert: Okay. I appreciate all the detail and thought considering the low volumes of cost performance was actually rather good for the quarter. So congratulations on that front.
Marco Levi: Thank you.
Beatriz García-Cos Muntañola: Thank you, Martin.
Operator: This concludes today's question-and-answer session. I'll now hand the call back to Marco Levi for closing remarks.
Marco Levi: Thank you. We are optimistic that 2026 will bring a more robust market environment as the trade measures are implemented and trade uncertainties diminish. Thank you again for your participation. We look forward to updating you on the next call in February. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.